Operator: Good day, everyone, and welcome to CCU's Fourth Quarter 2025 Earnings Conference Call on the 25th of February 2026. Please note that today's call is being recorded. At this time, I'd like to turn the conference call over to Claudio Las Heras, the Head of Investor Relations. Please go ahead, sir.
Claudio Heras: Welcome and thank you for attending CCU's Fourth Quarter 2025 Conference Call. Today with me are Mr. Felipe Dubernet, Chief Financial Officer; and Carolina Burgos, Senior Investor Relations Analyst. You have received a copy of the company's consolidated fourth quarter 2025 results. As usual, the call will start by reviewing our overall results, and then we will then move to our Q&A session. Before we begin, please take note of the following statements. The statements made in this call that relate to CCU's future financial results are forward-looking statements which involve known and unknown risks and uncertainties that could cause that outperformance or results could materially differ. This segment as well should be taken in conjunction with the additional information about risks and uncertainties set forth in CCU's annual report in Form 20-F filed with the U.S. Securities and Exchange Commission, and also at the annual report submitted at the CMF. It is now my pleasure to introduce to Mr. Felipe Dubernet.
Felipe Dubernet: Thank you, Claudio, and thank you, you all for joining the call today. During 2025, CCU posted a strong set of results in its main operating segment while it faced a particularly challenging year in Argentina and in the wine business, especially during the second half of this year. Isolating the nonrecurring gain from the sale of a portion of land in Chile in 2024, consolidated EBITDA decreased 2.9%. On pricing segment, Chile posted a robust 7.8% EBITDA growth, which was diluted by the 29.5% contraction in International Business operating segment and a 14.9% drop in the wine operating segment. In addition, net income was down 16.3%. Under the same criteria and isolating Argentina, consolidated EBITDA would have grown mid-single digits in 2025. In terms of business scale, consolidated volumes reached 36.2 million hectoliters, expanding 7.3% versus 2024. Organic volumes increased 0.6%, fully driven by the Chile operating segment, which expanded 1.1%, recovering growth after 3 consecutive years of contraction. In terms of our strategy, during the year, we moved forward in our strategic 2025-2027, a strategic plan and its 3 pillars: Profitability, Growth and Sustainability. Regarding profitability, as mentioned, our core operating segment, Chile expanded EBITDA by 7.8%, well above inflation and EBITDA margin grew 48 basis points, while we keep growing in high-margin innovation and the dividend efficiencies in every aspect of the business. Regarding our Growth pillar, we strengthened our regional footprint by successfully integrated in Paraguay, PepsiCo's beverage portfolio and snacks distribution. Furthermore, we posted volume growth in our water business in Argentina in a tough business scenario and increased our [ beer scale ] in Colombia. Also to meet evolving consumer trends, we posted double-digit growth in low alcohol and ready-to-drink beverage products in Chile, innovating and consolidating our leadership in this high growing cost category segment, which involves beer, wine and spirits in the context of soft industries. Regarding Brand Equity, we recorded a solid performance in Chile, increasing brand equity levels being key to expand overall market share. Finally, as of sustainability in our Juntos por un Mejor Vivir strategy within the [ current ] pillar, we kept reducing industrial water consumption. Regarding the [ profitability ] pillar of our strategy and in the year that we celebrated 175 years of history, we reached important milestones. We obtained a high level of employee satisfaction, got certified in Chile and Argentina as a Top Employer by the Top Employers Institute, moving up in cadet ranking of citizen brands and got rewarded as one of the companies with best practices in corporate governance by the survey La Voz del Mercado 2025. From a quarterly perspective, Consolidated volumes rose 0.6% fully driven by the Chile operating segment. Our financial results were below last year, mostly explained by a challenging business scenario in Argentina, together with a high comparison base in [indiscernible] country and headwinds in the wine operating segment. This was partially compensated by our main operating segment, Chile, which continued in a positive part of results. Consolidated EBITDA contracted 17.2% where the 6% expansion in the Chile operating segment was more than offset by the 44.5% and 45.2% EBITDA contraction in the international business and wine operating segment, respectively. Net income contracted 25.7%. Consolidated EBITDA isolating Argentina would have expanded low single-digit in the quarter. In terms of our segment performance, in quarter 4 2025, the Chile operating segment top line expanded by 5.5% as a result of 4.1% increase in volumes and 1.3% higher average prices. Volumes were boosted by non alcoholic categories. Average prices were driven by the revenue management efforts, offset by negative mix effects. EBITDA has reached 6% mostly due to a 9.1% gross profit expansion, partially offset by 10.1% higher MSD&A expenses. Regarding gross profit, the rise was driven by higher volumes, lower cost pressures related to favorable prices in some raw materials with the exception of [ our NIM ] and the appreciation of the Chilean peso against the U.S. dollar which is positive on U.S. dollar linked costs, partially compensated by higher costs from our PET recycling plant [ circular ]. On the other side, MSD&A expenses funded mostly associated with higher distribution expenses [indiscernible] larger marketing expenses to support revenue. In International Business Operating segment, net sales recorded a 36.3% decrease, mostly driven by lower average prices and a 4.6% volume contracts, highly driven by a high single-digit contraction in the beer industry in Argentina. The decrease in average prices in Chilean pesos was driven by Argentina, impacted by negative translation effect, pricing below inflation through the year and negative mix effect. The later was partially compensated by efficiencies. [ In all ], EBITDA dropped 44.5%. The Wine Operating segment posted a top line contraction of 16.8% driven by 9.7% drop in volumes, together with 7.9% decrease in average prices. Lower sales was driven by both exports and domestic markets. The weaker average prices were mostly explained by stronger Chilean peso and its negative impact on export revenues and negative mix effects in the portfolio, partially compensated with the revenue management initiatives. EBITDA contracted 45.2% also impacted by the higher cost of wine. Regarding our main joint venture and associated business. In Colombia, volumes reached 2.4 million hectoliters in 2025, increasing 6.1%. We continue to build a robust brand portfolio and sales execution in Colombia which is the path to long-term volume and financial [indiscernible]. Now I will be glad to answer any questions you may have.
Operator: [Operator Instructions] So our first question is from Fernando Olvera from Bank of America.
Fernando Olvera Espinosa de los Monteros: The first one is regarding the volume growth seen in Chile this quarter, if you can comment if this was favored by the alliance with Nestle highlighted in the press release. And some additional questions, sir, if you can share what was the performance of beer during the quarter and also how these low alcohol products that you have mentioned will favor volume performance in 2026.
Felipe Dubernet: Yes. We -- thank you, Fernando, for your question. Yes, we have a robust growth in Chile growing 4.1% driven, as we highlighted, by the non-iconic category. However, our spirits unit view a mid-single digit thanks to a very good performance on all the non-alcohol ready-to-drink flavored products of that category. So it was a very good quarter where we do overall market check in the quarter. So -- and this drove good growth in the overall set. Regarding the year -- the quarter, in general terms was good. We experienced flat volumes against the same quarter of 2024. And seasonally adjusted, was a bigger quarter than quarter 3, let's say, seasonally adjusted. So experiencing seasonally adjusted growth the [ beer category ]. You are asking a more overall question regarding alcohol consumption. The capital alcohol consumption decreased mid-single digits something like 4%. We are still calculating because it depends on the population estimates. So -- but overall, decreased 4%. Regarding, specifically, in beer, we come back to 2019 per capita consumption. But following, as we highlighted consumer trends we are delighted of the growth, and we are experiencing in all our low-alcohol ready to drink flavored products portfolio, which grew [indiscernible] the 20%, more than 20% and reaching in the Chile operating segment, practically 7% of the mix. And this encompasses proposition on beer as mixers. We are very satisfied of the growth we are experiencing in the [ Stone ] brand and all these different labors. And also in the spirits, where all the low-alcohol flavored products are growing practically 25%. So the consumer is moving towards these products. And fortunately, we have a high innovation grade on that specific category and where CCU has more than 80% of market share of the overall market.
Operator: Our next question is from Felipe Ucros from Scotiabank.
Felipe Ucros Nunez: Thanks, operator. [Foreign language] Thanks for the space. A couple of questions on my side. One, a little more short term and the other one a little more long term in nature. So the first one on SG&A in Chile, you've been generally posting improvements in your SG&A to sales ratio over the last couple of years. So I was a bit surprised to see you back track this quarter. SG&A grew a little bit faster than sales, and you did mention in the release that it came partly from investments in marketing. So can you comment on this and whether you expect to continue this investment at a higher level? And also, if you could talk to us a little bit about where that investment is going? Perhaps it's just additional spending to give some impulse to the [ RTD ] category that is new for you? Or perhaps it's something you're having to do in beer to keep it at neutral volumes? And then the second question, a little bit longer term, it has to do with the fact that beer has been lagging nonalcoholic beverages for quite some time at this point, right? And there's probably more than one thing at play here. So just wondering if you can comment about the different rates of volume growth that you expect there. In a tough environment, it's expected beer would underperform because it's more discretional. But there's also this structural migration from consumers away from alcoholic beverages. So just wondering if you can comment on the difference between those two factors and how it's impacting you looking ahead.
Felipe Dubernet: Felipe, thank you for your question. Regarding the marketing investment, it was mainly driven by the year. As also we had a low comparison base in quarter 4. So it was a temporary -- [ more ] investment in quarter 4 2025 compared to quarter 4 2024, and essentially went to support our premium portfolio. So I think this is to build a stronger premium portfolio because at the same time, price growth in beer was in the quarter in line with inflation, which is very good, a little bit above inflation. So it's a different combination on the P&L, but nothing to worry about. Regarding your question more on the long term, we think in the future, our winning non-alcoholic portfolio will continue to grow with especially water business in both a pure -- plain water. We had a tremendous success on [indiscernible] strong gas proposition. Also, we continue to grow at a high rate on our favored or enhanced water portfolio with [ brand mass ]. So all of these is driving the growth on our colleague that should grow in line with private consumption in our view. And especially the category where we did. Regarding alcohol, the situation, as I mentioned in the previous question, in the year, specifically, we come back to the per capita consumption in 2025 that we had in 2019. But bear in mind that 20 years ago, per capita consumption in Chile in 2014 was 44 liters per capita, in 2019, 52 liters per capita and in '25, 52 liter. So I think overall, this category, we cannot forecast the future, but should stabilize the overall beer category around 0% to 1% growth and would be driven by the low alcohol beer propositions. We recently launched in January with great success Cristal Ultra but also we lead specifically the low alcohol ready-to-drink portfolio of flavored products or mixers, which I mentioned in the previous question, growing a lot. So this would certainly sustain growth in the near future. But again, these are projections and -- but we are following consumers closely all the consumer trends. That's [indiscernible].
Felipe Ucros Nunez: If I could do a quick follow-up on the first one. Do you expect this higher marketing spend? I know there was a comparison base, but should we expect it to grow at more historical levels going forward? Or do you expect a higher marketing spend going forward?
Felipe Dubernet: No. The marketing range would be the same.
Operator: Our next question is from [ Guilherme ] [indiscernible] from [ Apple Capital ]. What is your pricing strategy in Chile going into 2026 for alcoholic and for non-alcoholic beverages? To what extent do you plan to raise prices or do you plan to take advantage of lower cost pressure to be more aggressive in gaining share?
Felipe Dubernet: Overall, the company historically is aiming to grow prices in line with inflation. As in the last years, you know our input cost inflation was much higher than inflation. We have some lag in terms of recovering profitability that we have in the past. Still, we have this lag. So overall, our aim is to take every revenue management initiative. But this could be by rising prices, which is the less sophisticated answer to your question in terms of pricing, but also launching higher-margin innovation. In fact, the portfolio that is growing, the low alcohol ready to drink flavored products are at a premium in the case of beer compared to the mainstream beer. So you could increase prices or your revenue per hectoliter in different ways. But bottom line, the aim is not gaining share to pricing or promotions, more sustaining the market share in the long term through brand equity and marketing investments and high-quality produce rather than trying to gain share with aggressive promotions. So the aim is to increase prices. But always, you have a market of competition, but the aim is to increase prices in line with inflation.
Operator: Our next question is from Constanza Gonzalez from Quest Capital.
Constanza González Muñoz: I have two questions. The first one regarding the environment in Argentina. Could you give us more detail about the trend in construction that you are expecting for this year? Some recovery in the volumes? And secondly, I would like to ask you about the CapEx for this year. Thank you.
Felipe Dubernet: Thank you, Constanza, for your question. Hope you are doing well. Yes. Regarding Argentina, the alcoholic industry was very soft, I would say, declining industry we are in the year have affected specifically also beer and not -- even wine was more dramatic but in beer, we have a decline in this. And the thing is that towards the end of the year, we saw some runway improvement. During the quarter, we had a terrible November in terms of weather because every weekend we have rain. So with rain, you don't do barbecues, you don't drink beer. So at the end, we have this terrible weather. Despite this terrible November, seasonality adjusted volumes in quarter 4 compared to quarter 3 improved 4%. This is what sustained my statement that we saw a gradual improvement. We don't know, we don't have clarity if we exclude the weather we had in November, maybe this would be an improvement of high single-digit seasonally adjusted. Today, we are seeing, let's say, a gradual recovery in terms of volume in Argentina. It was -- two questions -- second question [indiscernible]. Costa, could you repeat the second question because I had a sound problem.
Constanza González Muñoz: Sure. I asked you about the CapEx that you are expecting for this year.
Felipe Dubernet: Yes. Regarding CapEx, we will be investing depreciation. No more than appreciation.
Operator: Our next question is from Aldo Morales from BICE Inversiones. Can you please explain if this negative inflection point in Argentina in ARS seems to continue over the next quarters. Also, can you please explain how persistent could be this negative pricing scenario in wine [ VSPT ]?
Felipe Dubernet: Aldo [indiscernible] you. So Aldo, yes, 2025 -- yes, in a broader perspective, in 2023, our prices, our beer prices in Argentina were above inflation. In 2024, slightly above inflation. We saw big numbers. And in 2025, we were below inflation. So 2025 in terms of price was not a good year for beer in Argentina. Although, looking at the future, we have increased prices in December, effective in January so that this would lead some improvement in profitability in the near future, along with gradual improvement. I mentioned that we saw towards the end of last month. Regarding the other question regarding why, this is due to mix effects mainly in exports. As in the domestic market, we increased prices above inflation. So it was mostly due as export prices and was due to mix effects.
Operator: Our next question is from Thiago Bortoluci from Goldman Sachs.
Thiago Bortoluci: Thanks, Felipe, for the presentation and for the questions. I would just like to move back to the discussion on pricing in Chile, right? During your remarks, you mentioned that essentially beer prices are growing with inflation. Your headline prices are growing a bit below inflation, which suggests all else equal that your price mix for nonalcoholic is negative, right? Obviously, there are a lot of moving parts here. I would just like to understand how much of this is mix, how much of this is like-for-like and more importantly, particularly for non-alcoholic, what's the strategy going forward?
Felipe Dubernet: Overall prices -- the Chile operating segment increased price by 3.5% in the year. Price effect was something like 4.3% and mix effect something like 0.8% that was the impact of mix [indiscernible] product. In the last quarter, we have more mix effect due, as I said, accelerated water sales during the quarter. Regarding specifically in non-alcoholic, as I mentioned, the pricing strategy would be to at least increase prices in line with inflation.
Operator: Our next question is from Martin Zetzsche from Fundamenta Capital. How should we think about margins in Chile finishing in 2026, given the favorable levels for the Chilean peso?
Felipe Dubernet: Martin, I will not provide a specific number for margin or during 2026 is forward-looking. But as you mentioned in your question, we are facing favorable effects in Chile, which would certainly impact positively our raw material and this would come more in effect in quarter 1 of this year because we carry out some inventory in quarter 4 of specific raw materials such as [indiscernible] because this is why you didn't see, as a full extent, the benefit of having a lower exchange rate in Chile. However, there are also some [ signals ] in some raw materials, specifically aluminum, where we are seeing high, very high prices, above $3,000 per tonne aluminum comparable of what we saw in 2022. So that's a bit of concern, but this should be more than compensated by exchange rate, as you pointed out. So taking into account this, we should be seeing a favorable EBITDA margin, positive expansion of EBITDA in 2026. But again, this is based on assumptions that could change during the year.
Operator: Our next question is from Alvaro Garcia from BTG.
Alvaro Garcia: Felipe, I was wondering if you can maybe comment on the nonalcoholic front in Chile, on the performance of Pepsi Max, maybe how it's positioned relative to Coke Zero or to other competitors in China. So maybe specific commentary on maybe some of the better-performing products in Chile would be helpful.
Felipe Dubernet: Yes. In Chile, we do have Pepsi Zero, we do not have Pepsi much. To highlight, Pepsi Zero is doing very well, tremendous success in Chile. In fact, the coverage of soft drink category grew in the last quarter low single digit, which for this category of being Chile, a high cost -- high consumption level of [ CSP ] is a very good growth in Chile. And of course, Pepsi has been increasing brand equity and market share in the last few years. So overall, but what is really driving the category, the water business, especially enhanced water products are growing double digit during the quarter and other products such as ready to -- specifically functional brings growing mid-single digits.
Operator: Our next question is from Nicol Helm from MetLife Investments. Can you elaborate on your financial policy going forward in terms of net leverage and capital allocation? S&P has maintained the company on negative outlook for some time. Do you expect to preserve the current rating? And are there any specific measures you're taking for this?
Felipe Dubernet: Thank you, Nicol, for your questions. If I understood well, you are asking about net financial debt EBITDA ratio? Yes, the aim is to maintain the notch that we are having with the risk [indiscernible] so it's something below a ratio of 2. Today, we are finishing with 2. In terms of net financial debt to EBITDA is to maintain or even decrease if the business do better. But we don't have a specifically policy on that. But however, the aim is to maintain the specific notch that we have within the risk announced.
Operator: We'll now move on to our final question from Santiago Petri from Franklin Templeton. Hello. Thanks for the presentation. could you guide us on your raw material cost expectations for 2026? What impact would that have on your margins?
Felipe Dubernet: Santiago, yes, specifically, we'll answer the question more for Chile. Starting by the -- what has been positive today, as we mentioned in previous question, is the appreciation of the Chilean peso. We have some sensitivity on that, that each 1% appreciation is something about [ to CLP 4,000 million ] of better results at the consolidated basis because it's also considering the offset we would have in the export revenues we had in the wine business. So is positive on that, but I would not predict, of course, the exchange rate scenario. But if this is maintained, we are talking about a significant amount of money. Last year, the average rate was CLP 953 on this year, now the spot is CLP 960. So we are talking about 10% of significant amount of money. But this, as always, is being compensated by higher aluminum prices that we are suffering and higher PET recycling prices. As you know, we have a loan in Chile where 15% of the plastic bottles should have reached the local recycling PET and prices on that are the higher in Latin America. So to answer your question, we are seeing, overall, a positive scenario on input cost, thanks to exchange rates.
Operator: Thank you. We would like to thank everyone for the participation today. I will now hand it to the CCU team for the closing remarks.
Felipe Dubernet: Okay. Thank you. Same to you all for attending today. To conclude, in 2025 in context of soft industries, we posted solid performance in our main operating segment, Chile, recovering volume growth after 3 years of volume contraction and expanded EBIT and EBITDA margin. However, consolidated results were weaker due to a difficult macroeconomic scenario in Argentina, together with the contraction in the beer industry in this country and strong headwind in the wine business. We look to the future with optimism as CCU's core strength remain solid. Our focus will be on continue developing our 2025-2027, the strategic plan reinforcing our three strategic pillars, profitability, growth and sustainability with a special focus on profitability through revenue management efforts and efficiency and high-margin innovation growth. Finally, I would like to send my gratitude to all our more than 10,000 employees in a special year for our company as we celebrated our 175-year anniversary. Their dedication and commitment with the said CCU principles: Excelencia, Entrega, Integridad [indiscernible] have been key to navigate challenging times. We will continue to work to ensure sustainable and profitable growth for CCU. Thank you all, and I wish you a wonderful afternoon.
Operator: That concludes the call for today. We'll now be closing on the lines. Thank you, and have a nice day.